Operator: Good day everyone and welcome to today’s Compass Minerals' Third Quarter Earnings Conference. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Theresa Womble, Please go ahead Ma’am.
Theresa Womble: Thank you, Allen. Today, our CEO, Fran Malecha and our CFO, Matthew Foulston will be reviewing our third quarter results and rest of year outlook. Before I turn the call over to them, let me remind you that today's discussions may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on the company's expectations as of today's date, October 28, 2015, and involve risks and uncertainties that could cause the company's actual results to differ materially. The differences could be caused by a number of factors, including those identified in the Compass Minerals' most recent Form 10-K and 10-Q. The Company undertakes no obligation to update any forward-looking statements made today to reflect future events or developments. You can find reconciliations of any non-GAAP financial information that we discuss today in our earnings release, which is available in the Investor Relations section of the Compass Minerals’ website. I'll turn the call over to Fran now.
Fran Malecha: Thank you Theresa and good morning to all of your joining us today. All in all this was a good quarter for us. As you’ve seen in our press release, our total sales were slightly down versus prior year, while our operating earnings were slightly higher. We delivered these results in the face of weakness in the broader agricultural market, which depressed our plant nutrition sales volumes in some of our core North American markets. Despite the softness in the plant nutrition segment, we continue to prove our ability to perform well and post strong results because of the unique combination of our assets and the action we have undertaken to improve our position within the markets we serve. While Matthew will discuss the specifics of our salt segment results shortly, I’d like to touch on some of the factors that contributed to our strong margin performance in this business. This is a very important area to emphasize because as many of you know, we are projecting a price decline this year for our highway deicing salt products sold in North America. This headline number though only tells part of the story regarding the health of this business. Let’s start with a quicker view of our North American highway deicing bid season. Compass Minerals won 10% more commitments that last year which followed a severe winter. We believe that this increase puts us back on par with where our market participation was prior to the 2011 Goderich tornado and operationally this increase provides us with better asset utilization in our rock salt mines. Pricing on these contracts is down on average about 7%. This compares to being up 25% last year, and we are very pleased with the contracts we won. We have increased commitments in the specific geographies that we expect will yield strong profitability for us and support our efforts to maximize the margin and every ton of salt we sell. Other efforts in this area include optimizing our customer mix and rationalizing consumer and industrial product lines. These changes are well underway and are already having a benefit on our operational efficiency both in our production plants and throughout our distribution system. Success in these areas as well as lower fuel cost and the impact of last winter’s deicing price lift has resulted in continued operating margin expansion throughout the year and a 53% improvement year-to-date in salt operating earnings per ton. We expect our margin optimization actions to continue driving margin expansion throughout the end of the year. In fact we are increasing our guidance on second half salt operating margin by 3 percentage points. Turning to plant nutrition, we had a challenging quarter due to weakness through the ag market, which has both sales from us all inputs, specifically in markets where SOP is often blended with other micronutrients. There has been hesitation by growers to make purchases, as a result our plant nutrition shipments were below plan in prior year. We’ve held steady on our average selling price however, because of the continued value that SOP provides to growers as specialty crops. Additionally, the economics of the crops we serve are good, particularly when compared to current pricing trend for the major commodity crops. Market pricing for most of the crops we serve has been healthy in 2015. It’s helpful to put our results in context with what has happened in the commodity fertilizers space. If you look at MOP for example, you’ll see that demand in North America through the second quarter dropped 26%. We see nothing in the market that suggest a major rebound in the third quarter which means the trend is likely continuing. Prices for MOP are still seeking the bottom and are down 14% from the beginning of the year. Our SOP prices in contrast are down 1% year-to-date while our volumes are off only 16%. This relative strength in the face of wider ag market weaknesses points out the attractive fundamentals of our specialty plant nutrition business and the markets we serve. We remain committed to this business as a growth vehicle for Compass Minerals because of these attractive fundamentals. We continue to build our position as a go-to source for specialty plant nutrition in North America. Our business is well positioned to benefit from mega trends relating to the need for yield enhancement in an area of global population growth, growing food demand and declining arable land availability. Further, as our plant nutrition business grows, it will provide us further diversification to our earnings stream and greater leverage to global economic growth. Before we hear from Matthew, I’d like to wrap up with where we are as a company in terms of delivering on our growth plan. We are on track to hit our 5 million plus EBITDA target by 2018, supported by the actions taken by our businesses to maximize the value of our essential mineral products in the market place. We are making progress on our capital spending plan with investments that are necessary to ensure the longevity of our assets and to facilitate growth. You can see that 2016 will be a peak period of CapEx spending and beginning in 2017 we expect to return to more normalized capital spending levels. We expect this will result in a significant increase in free cash flow. We will look to deploy this capital to build shareholder value by keeping with our disciplined approach to capital allocation. We will invest in organic growth; we’ll make strategic acquisitions when appropriate, and consider other options to return cash to shareholders. With that I will turn the call over to Matthew.
Matthew Foulston: Thanks Fan and good morning everyone. First a quick review of our consolidate results. In terms of sales, operating earnings and net earnings, we were more or less flat with prior year results when we exclude the one-time benefit we reported last year. As a reminder, this special item was the final settlement of our insurance claim related to the 2011 tornado that struck our operations in Ontario, Canada. Expanding on Fran’s comments, revenue of 233 million was 3% lower than third quarter 2014 results. Operating income however increased 3% and operating margin expanded one percentage point. Strength in the salt segment under pin the company’s performance this quarter. So let’s start there; if you are following with our presentation online, our salt results can be found on slide 8. Salt segment operating earnings of 45 million were up over 31% from 2014 and set a record for third quarter earnings; again excluding the tornado insurance benefit. While you may recall that price was the primary driver of record setting earnings in the second quarter, during this quarter several factors combine to push salt earnings to another quarterly record, including increased sales volume and lower cost. Sales volume increased 7% due to highway deicing sales volumes, driven by strong demand in the UK and a good start to preseason order fulfillment in North America. The average selling price for highway deicing salt was lower by 3%, primarily driven by a greater mix of rock salt sold to chemical customers this quarter, compared to the 2014 period. These lower price sales to chemical customers are reported in our highway deicing business, because they are bold rock salt sold directly from our mines. Our consumer and industrial average selling price was flat, although we did gain price in most product categories with an offset in sales mix. Continued execution of the segment strategy to simplify the business improved product mix as well as better operating rates at our UK mine, drove significant year-over-year improvements in per unit product costs. Salt segment logistics costs also improved by $3 a ton or approximately 12% from prior year, primarily due to lower fuel costs. These factors resulted in strong margin performance in the segment with an EBITDA margin of 31%, up from 26% last year. Turning to slide 9, you can see details of the plant nutrition segments performance. Clearly we felt the impact of a weaker ag market in our results. Segment revenue was down 20% on 22% lower sales volumes. The bright spot here continues to be stable SOP pricing, which at $720 per ton was 7% higher than last year and essentially unchanged from the second quarter. The average price for all plant nutrition including our micro nutrient products was higher by 2%. As expected, earnings in this business remained pressured by higher production costs; due to the greater use of source potassium feed stock to supplement last years’ poor solar-pond harvest. We are currently evaluating the harvest from this year’s solar evaporation season. It’s certainly better than last year; however it is not at the level we expected. We do expect improved costs in 2016, but the magnitude of the improvement won’t be fully known until we get further in to the processing of the new harvest. Turning to slide 10, you can see an overview of our current outlook. The first column shows our present view on key metrics for the fourth quarter. The next column shows where we are versus our prior second half guidance, when you factor in our achievements from the third quarter and the last column outlines some of the drivers of our expectations. Fourth quarter salt segment results will be influenced primarily by our bid season results and actual win for weather. An increase in our North American highway deicing commitments is expected to push total salt sales volumes in the fourth quarter above prior year results, assuming average win to weather. We also expect strong operating and EBITDA margin performance to continue as a result of our actions to optimize our sales mix and produce sufficiently, as well as the tailwinds we are experiencing from fuel. We have reduced our expectations for plant nutrition sales volumes. This is balanced by some improvement in average selling price in this segment and better than expected production efficiency at Ogden. That being said, lower sales volumes are likely pressure our operating earnings margin. We also have a couple of updates on corporate items; year-to-date we have spent a 154 million on capital expenditures. For the full year, we now expect to spend between 210 million and 230 million. We have additionally fine-tuned our tax rate assumptions; we now expect a full year rate of around 28% based on the jurisdictions of our projected earnings. In closing, let me provide a quick summary of our results before we begin our question-and-answer session. We have strong third quarter results with strength in the salt business offsetting softness in plant nutrition volumes. Record salt EBITDA was driven by higher volumes and lower production and logistics cost. Stable SOP pricing and a modest reduction in volumes year-over-year contrast with MOP, where both price and volume are down significantly. We remain focused on our capital investments and executing those projects on plan and on budget. Finally and most importantly, we are narrowing our full year EPS guidance range to 520 to 550 from the prior range of 510 to 560, leaving the mid-point unchanged. With that I’ll turn the call over to Allen the operator.
Operator: [Operator Instructions] our first question comes from Chris Parkinson with Credit Suisse.
Chris Parkinson: You mentioned that crop economics in your core regions remain healthy, but there’s still reluctance for customers to repurchasing product. Can you just give us a little color on, is this a functionality of pricing in some ways or rather simple concerns over the broader ag complex. Just any insight there would be appreciated.
Fran Malecha: This is Fran, the only comment I would make there is, I think we do compete in some different markets. So I feel like a California for example, the crop pricing there is strong and the chloride sensitivity is there in most of those crops, so we think that’s mainly just a - farmers have been a bit more conservative and there may some weather timings in that as well. Other markets where there is many more substitutability, I think you’re seeing the impact of all crop [being] put dropping in producers either using less because of the crop economics or they are waiting for their harvest to complete before they make their decisions on input purchases for the upcoming season.
Chris Parkinson: Okay, that’s very helpful. And then just turning very quickly to salt, you mentioned in your prepared remarks that market shares are turning to levels not seen over the last couple of years or so. Clearly that’s a positive, but can you just give us a little more context around your plan to manage bids in some sequence seasons. And it seems like you’ve had a shift there over the last let’s say year or so. Will this simply be a functionality of optimizing net-backs and potentially further growing market share, and it even seems like there may be some overlap between these two things. So any color there just would be once again appreciated.
Fran Malecha: Sure. I think the results of the bid season this past year was consistent with our strategy of getting back the market share that was lost going back four or five years. And this past year, given the pricing and some of the winter dynamics enabled that to happen. And as you can see from the margin impact and how we manage the business that we felt that it was the right time to do that. And we’ll benefit from that going forward. So I wouldn’t say there is any change in our approach, and every winter is different and every bid season is different and we’ll continue to manage that effectively going forward. The one comment I would add here is that, we with this market share gain that we have picked up in the commitments, we think that really optimizes our production capacity. So we wouldn’t be looking for further share gain as a driver, because I think with those commitments in our mining capacity we are well positioned in a normal weather environment to run our mines and certainly get the benefit of that on the cost side of the margin component.
Operator: Next we’ll go to Ivan Marcuse with KeyBanc Capital Markets.
Ivan Marcuse: The first one is follow-on to one of those just asked. How sticky historically is market share. I know four or five years ago when you lost it was somewhat of a function that you just got hit by a Tornado and you couldn’t supply. So once you get this business does it historically stick or is this business that you’re going to have to fight or compete for every quarter or every year.
Fran Malecha: Ivan its Fran, the first comment I would make is this is a competitive market place, so we compete in all areas. But the commitments that we were able to get this past bid season are in the right places from our perspective and should help us retain that market share over the longer term. And then we’re going to continue to improve our cost position around our mines with the capital that we are putting in and we should start to see the benefit of that in ’17 and beyond. So we think that we’re going to be well positioned to retain this share, knowing that there’s some variability every year driven mainly by weather.
Ivan Marcuse: Great. And you talk about hitting your 500 million in EBITDA in ’18 and I know a function of that $500 million is expected or potential acquisitions over timing, you’ve always talked about growing the ag or the plant nutrition business further. Now that you’ve had Wolf Trax and you’ve seen sort of the volatility that industry continues to have, is this still a segment or a platform that you want to grow overtime or would you consider, I know there’s limitations of salt may be adding another leg within some mineral or something that would potentially be a growth platform for you going forward, or how are you looking at plant nutrition now going forward in terms of acquisitions.
Fran Malecha: We still it as a growth business for the company. I think the long term fundamentals are still there, they are solid and intact and you’re going to have some cycles and I think we’re seeing that in the commodity complex and general nudges in ag. So we think this is still a good business for the company to build on. We are making investments in expanding our SOP for the future and we’ll continue to look at acquisitions in a specialty, more differentiated space, and we do see Wolf Trax performing better than the market but it’s not meeting our expectations because entire market is down. So I think we’ve made one acquisition there and we would expect those opportunity to potentially come at a better pricing here given the current state of the ag factor. So I think our timing to grow that business should be pretty good. And growing this business isn’t mutually exclusive to other things that we might be looking at. So I wouldn’t rule anything out as long as we said in the past, it builds on our core competencies and the adjacencies would fit well with the current businesses we have if we looked in to another mineral.
Ivan Marcuse: Great. And then my last question is, on your guidance of the 520 to 550, assuming plant nutrition does really give us the low end assume, you know that’s something what you make of it, it’s one of those fourth quarters where it doesn’t snow and then 550 is sort of a pretty strong winner and then the midpoint is an average or how would you gauge sort of how do you come in to low end versus the high end.
Matthew Foulston: Ivan this is Matthew. I think when we put this together we try and factor in most things. I think one thing that is really difficult to do without expanding this range incredibly wide is to really factor in a very weak winter. So generally we are thinking about a pretty average winter here, and I think we do view the biggest challenge ahead in the short term here as being the plant nutrition volumes and the range of outcomes there could be pretty wide. It depends how much of it’s the September-October sort of timing difference that you can get year-to-year, and how of it is depressed demand. So I think of it primarily in terms of SOP demand.
Operator: [Operator Instructions] We’ll next go to Joel Jackson with BMO Capital Markets.
Joel Jackson: Staying with SOP here, you had a fantastic quarter on your SOP prices and looking at premiums relative to MOP, of course you talk about volumes are down. Can you talk about what’s going on here in your realized SOP pricing, and you’re achieving great numbers but the volumes are down. So is this a game where you pushed out some of the lower margin opportunities in the volume and focused on the higher priced sales, and we should expect this premium MOP to come down in your results over the next few quarters as being stabilized.
Fran Malecha: I think we have done a nice job over the past couple of seasons of extracting more value for the SOP, and some of that’s been due to the geographies that we are selling it in to the crop mix that might in those geographies and so on. So I think we feel the progress that we’ve made in the value that SOP is delivering to growers, it continues to be there and the approach that we are taking here is hard to predict what’s going on from a volume standpoint in all cases. But we were just unwilling to see price as kind of the driver of that and that will continue to play out, but we feel like the pricing and the approach that we’ve taken here is solid. So I think to Matthew’s point there’s some concern on the volume in the fourth quarter, but certainly we don’t think that’s price related. It may be as MOP continues to decline, if that does continue, where producers can substitute and might be more willing to substitute, they may do that and that could be hurting our volumes somewhat. But in our core markets, the core crops, we just feel like the pricing that we are at today should be sustainable.
Joel Jackson: Okay, that was helpful. Can you remind us where we are for the ramp up of the augmented additional SOP production in ’16 and ’17, where we should see volume growth or at least production growth?
Fran Malecha: Today I think our total production capacity at Ogden is about just under 400,000 tons and with the expansion we’ll be going to 550, and that will come online in the ’17, and we’ll see that capacity and the sales buildup to that capacity overtime. So I don’t anticipate it’s all going to happen in when it comes online and we are working hard to build that, but certainly we would expect to see the full benefit of that capacity in the out years beyond ’17.
Joel Jackson: Okay, that was helpful. Final question you eluded to some of the margin expansion salt, can you help us understand net-backs in salt. So you talk about lower freight costs excuse me, but salt prices have come down. I mean if you’re seeing a 7% contraction on a world of volumes at how you’re deicing this with winter. With looking at freight costs, would we expect net-backs to be flattish or net-backs to be down 5% just looking at again at the freight costs and some of the optimization that you have on the cost side?
Matthew Foulston: Yeah Joel, its Matthew here. I think when you think about our margin performance in salt and you at where it’s been this quarter versus the same period a year ago, and then where we think it’s going to be going in to the fourth quarter, you got a number of different things that play here. First of all, volume is up as Fran mentioned in his remarks and that just helps overall fixed cost absorption and it’s good for the business. But the other thing that Fran talked about is the way we ran in to the bid season and this intense effort to optimize profitability and we found a lot of opportunity that was closed in a mine with good margins and good net-backs. So we do expect to see continued year-over-year improvement in freight as we go in to the fourth quarter.
Operator: [Operator Instructions] We’ll next go to Garrett Nelson with BB&T Capital Markets.
Garrett Nelson: I was a little surprised to see that you’re expecting plant nutrition price realization in Q4, when there’s been some softness recently in the North American agricultural market as you sighted. What’s behind that?
Matthew Foulston: This is Matthew Garrett. What’s really behind that is basically flat SOP pricing. So this is the season where Wolf Trax as a disproportion impact and disproportion of volumes. So you just see that drive the average composite number up.
Garrett Nelson: And then on CapEx, you’d lowered you 2015 CapEx guidance again, does that just represent the push of some CapEx from this year in to next year or has the absolute cost of your organic growth expansion come in somewhat below what you are initially budgeting.
Matthew Foulston: Yeah the biggest factor driving our CapEx down is actually foreign exchange and the weakness in the Canadian dollar. When we went in to the year we were planning somewhere around $0.90 and it’s been around $0.75 recently and that’s had about a $20 million reduction in our full year CapEx spending. And depending on where FX goes next year, that also could drag down projected spending for next year and result in that cumulative, what we refer to as 0.5 billion being somewhat lower. And I think as I said on the last call, there are big chunks and lumps in this spending and it can fall either side of the year. So I’d say FX is by far and away the bigger driver and then there’s just a little bit of timing.
Operator: We’ll now take a question from Bob Koort with Goldman Sachs.
Ryan Berney: This Ryan Berney on for Bob. I kind of had a question on the salt side. So leaving the transport case alone for a minute, it seems to me that your guidance for the fourth quarter on the pure production side for salt seems to be indicating it might come down pushing as high as it is 20% or even more on a year-over-year basis. So I was wondering and you mentioned a couple of things in the UK mines, you talked about having a little bit more fixed cost leverage with a better volume. Can you give me a sense for may be as much as you can parse out the various pieces there that are kind of driving how much that magnitude and maybe comment a little bit on what you see as a sustainability of that cost level going in to next year.
Matthew Foulston: This is Matthew. Let me talk about the last three months if I can to give you some flavor as to what was driving our improvements there. If you think of it from an EBITDA perspective, we were up in about little over 30%. I would say the two biggest drivers here are shipping and handling and COGs and then the volume piece was certainly less significant and the other factor is we didn’t have any material impact from imported salt this year, and we don’t expect any impact as we go in to Q4.
Ryan Berney: So looking in to next year, again leaving the transport side a little bit separately is this kind of a level that we can expect to be more sustaining. I am just kind of watching throughout the year it looks like your pure production cost on our per ton basis was falling pretty dramatically. So I am just trying to wonder whether this is a new cost set base or what we should be thinking about as far as how that changes next year.
Matthew Foulston: I think you got to be careful thinking about taking Q4 and then extrapolating it through the year, because if you look at our seasonality and you go back three or four years, you see that Q4 typically is a very strong quarter. So I think we ought to look to similar kind of seasonality, but at the same time we had a rough first quarter this year with some of the challenges we had at Cote Blanche with the hoist issue and we are obviously benefiting from all the facilities running excellently right now, and some nice high volumes in the UK. So I would look at it over the year and not just jump too much off Q4.
Ryan Berney: And I have one more last one, if you will permit me. On the plant nutrition side in your negotiations with your purchasers do you sense that it’s more of a - was speaking in to the 3Q volume, is it more of a delay in terms of farmer decisions as in they are not really certain how the market’s going to play out or it’s just based on your impression or there’s just an unwillingness to accept the price side.
Fran Malecha: I think as I mentioned earlier, there might some of the different geographies that we are selling SOP in to. But I think it’s probably a little bit more of uncertainty given all crop input pricing and the profitability of the majority of these major crops, and that’s kind of spilling over across the entire ag sector. But we aren’t expecting to come a sharp rebound in the fourth quarter either. So we are being cautious in our guidance, and I think we’ll have to see as farmers finish their harvest season here, and what their attitude coming out of that in to the fourth quarter, and may be some of that volume spills over in to the spring. I mean it’s just hard for us going in to the new year. So it’s just hard for us to kind of pin that down exactly.
Operator: [Operator Instructions] We’ll next go to David Begleiter with Deutsche Bank.
David Begleiter: Fran on how the deicing pricing you told smack out of Q2 that 80% was done at minus 6%. Does that mean at the last tranche of highway deicing pricing was down, it was done down and closer to down 10%.
Matthew Foulston: When we said around 6% and we talk of around 7, we were giving you a rounded number. So I think it’s very difficult to take a 4% times the 20% that was still out there waiting and extrapolate that there was any kind of collapse in the tail end. So it’s really more of a subject of rounding those numbers.
David Begleiter: Understood, and on your fuel cost have you done any hedging in to 2016 for your fuel cost.
Matthew Foulston: We haven’t at this point.
David Begleiter: I guess not.
Matthew Foulston: On the natural gas side we do it but not on the field side yet.
David Begleiter: And perhaps this question was asked earlier in a different way, but looking at 2018 target has the path to that $500 million changing view in terms of stronger salt and weaker plant nutrition. Can you comment on that?
Fran Malecha: We don’t see a significant shift in our plans. I think from the path that we laid out in our investor presentation, we only kind of got the path to 500. So the timing of that between the years might change a bit, and I think of seeing this tracking of salt right now is we are going through a softer cycle in the plant nutrition. But strategically with the investments that we’ve made in both businesses to improve cost or expand capacity and SOP, we expect both businesses to carry their weight and deliver on our expectations.
Operator: [Operator Instructions] We’ll next go to Chris Shaw with Monness, Crespi.
Chris Shaw: The increased volumes of salt for this season, I was just curious geographically, you suggested some of them are closer to the mine, but did you guys benefit from the last winters’ strong snow season in the east coast, and have your volumes increased at all or is that something sustainable you think?
Fran Malecha: Our volumes haven’t moved to east. But I think you’re right, the volume pickup was closer to our mines, better positioned from a freight standpoint, and that’s stronger winter out east certainly kept those, the mines and that market fully occupied. So I think that’s why we believe that these volumes are sustainable and we’ll just as we get through winter in the next year’s pricing, how that goes.
Chris Shaw: And then switching SOP, could you remind me in the markets, the ex-California, the ones that were weak this quarter demand, what are the key crops that SOPs being sold in to there?
Fran Malecha: We sell SOP in a number of different crops, but some of t hose that might be a little more sensitive to substitutability would not be the fruits and nuts and the produce crops would be more of the crops like potatoes and tomatoes and some of those types of crops. The other crop that’s significant in some of these markets is also alfalfa and some of the more turn products. So I think that’s where we’re seeing a bit more reticent on the SOP side.
Operator: It looks like we have no further questions at this time. So I’d like to turn it back to Ms. Theresa Womble for any additional or closing remarks.
Theresa Womble: Thank you, Allen. We appreciate your interest in Compass Minerals. Please feel free to contact the Investor Relations department with any follow-up questions you may have. Contact information may be found on our Investor Relations website. Have a great day and go royal.
Operator: That does conclude today’s call. We thank everyone again for their participation.